Operator: Good afternoon. My name is Teresa and I will be your conference operator today. At this time, I would like to welcome everyone to the Universal Display fourth quarter and year end 2008 conference call. (Operator instructions) I would now like to turn the call over to Mr. Paul Johnson on behalf of Universal Display.
Paul Johnson: Thank you and good afternoon everybody. Thank you for joining us today. With us today as always are Steve Abramson, President and Chief Executive Officer; and Sid Rosenblatt, Chief Financial Officer of the Universal Display Corporation. Let me start today by reminding you that this call is the property of Universal Display. Any redistribution, retransmission, or rebroadcast of this call in any form without the express written consent of Universal Display is strictly prohibited. Further, as this call is being webcast live it will be made available for a period of time on Universal Display's website, this call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, March 12, 2009. All statements in this conference call that are historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These include, but are not limited to, statements regarding Universal Display's beliefs, expectations, hopes, or intentions regarding the future. It is important to note that these statements are subject to risks and uncertainties that could cause Universal Display's actual results to differ from those projected. These risks and uncertainties are discussed in the company's periodic reports filed with the SEC. Universal Display disclaims any obligation to update any of these statements. With that said, I’d like to turn the call over to Steve Abramson, President and CEO of Universal Display Corporation. Please go ahead, Steve.
Steve Abramson: Thank you, Paul, and welcome everyone to our conference call and review of financial results for 2008 and the fourth quarter. I’ll begin today by discussing the current state of the industry, highlighting some of our business accomplishments for the year and sharing some thoughts on 2009. Sid Rosenblatt will follow with a detailed review of our financial results after which we’ll be happy to take your questions. As we all know, the global economy is facing significant challenges. These are challenges that few would have predicted just a year ago. Given the scope of the current economic crisis, it will be very difficult for any company, including ours, to remain untouched. Relatively speaking, however, we believe that Universal Display is in a strong competitive position. Our balance sheet, the envy of many other companies, remains strong to help us weather any short-term problems that may arise, whether forecasted or not. From a long-term perspective, our proprietary technology and materials are being incorporated into more and more commercial display products. We are also seeing accelerated interest of the use of our technologies and materials for next generation commercial applications, such as lighting products of flexible displays. This development indicates us at Universal Display is well positioned for future success. Prognosticators are predicting that the current economic crisis may last for awhile. We cannot say for how long, but we believe that the economy is cyclical and the situation will eventually turn around. With this in mind, we are preparing to emerge from this down cycle and a recognized OLED industry leader with our red, green, and blue PHOLED technology and materials for both displays and lighting. In preparing for the future, we use strategic hirings to grow the company by about 25% last year. We have added approximately 20 people, almost all of whom have technical degrees or backgrounds. This increased staffing will enable us to accelerate our progress in anticipation of the rebalancing the economy. We were encouraged by the level of our fourth quarter revenues, approximately $3.6 million. The fourth quarter was the best quarter ever had for revenue standpoint. We believe this reflects increased technology, materials. As I said earlier, an encouraging number of commercial market today and are utilizing our full technology and materials. I’ve highlighted a number of these products in the past, including cell phones from KDDI, Casio, Hitachi, and Nokia, mp3 players from I-River, and a variety of products from Samsung, such as cell phones and digital cameras. Exciting as these products are, we believe that more are on the way. Samsung recently reiterated commitment to display productions by a corporate blog and at the World Noble Congress in Barcelona in early February. Quotes posed by Samsung regarding AMO legislates, “AMO will reach an economy on scale on terms of production sometime during 2009.” Medium and large scale applications will become every increasingly relevant for mobile phone technology and as production ramps up and cost per unit becomes more realistic. Samsung SMD has a current capacity of $2 million a month. As features just double this year, at which point economy at a scale will be reached. Samsung plans double production capacity once again in 2010. To continue with Samsung’s comments, “Samsung envisions monitor notebook and TV displays all being suitable for AMO in 2009 on a 2010 flexible displays will be commercially viable.” Another of our business partners, LG Display, described OLED as a key differentiator in the recent quarterly presentation for investors. LG Display, AMOLED are the future of the ID CDs for mobile applications, TV, and flexible applications. This is obviously music to our ears and it reflects a shared vision of the promise of OLED. Industry participants are committed to OLED, because of what they provide for a variety of devices and applications. Inner displayed, clearer pictures, more vivid colors, superior viewing angles, and energy efficiency. Anyone wondering what the future holds for OLED can see it being showcased at this year’s consumer electric show in Las Vegas. OLEDs were a prominent part of the show. From the world’s largest display manufacturers to smaller device and compounding companies, OLED displays will be found in five screen televisions, cell phones, multi media devices, and picture frames. Samsung, LG Display, Sony, and Nokia were among the many companies showing off their latest OLED prototypes and products. Samsung exhibited eye-popping displays, including vibrant and captivating 14-inch and 31-inch OLED television prototypes. They also demonstrated smaller area OLED displays, including 3.3 and 7 inch. LG Display exhibited equally impressive 15-inch, less than one millimeter, OLED prototype display for application of the televisions and laptops. Sony demonstrated 21 and 27-inch OLED televisions and Nokia exhibited N85, a sleek new cell phone with an OLED display. Innovation was also on display at the CES show. You may have seen showcasing our risk man and flexible display prototype on CNET and the CBS evening news. We developed this prototype as Department of Defense with our partners LG Display and L3 Communications. This prototype garnered a great deal of attention as a harbinger of the commercial potential that many see for flexible OLED technology. We share this optimism. In 2008, we continued our cutting edge work of flexible OLED technology with support from the U.S. Department of Defense. The start of 2009, we were awarded a $1 million extension to our Department of Defense contract to continue this work and develop next generation flexible OLED prototypes for use in military application. Light OLED lighting was also a key highlight for Universal Display in 2008. As many of you know, we signed a license agreement with Konica Minolta this past year for white OLED lighting. Using our PHOLED technology, we also demonstrated a record-breaking white OLED device with a power efficacy of 102 lumens per watt at a thousand nicks. The U.S. Department of Energy continues to help support our work at OLED lighting. The DOE used OLED as a critical compound of the solid state lighting initiative. We believe our work in this area will generate even more attention. Looking forward to 2009, we are encouraged by the public statements of our licensees, commercial potential for our PHOLED technology and materials, and the resilience of the OLED industry as a whole is showing in a difficult economy. With that, I give you Sid, who will review the fourth quarter and full year financial results in greater detail. Sid?
Sid Rosenblatt: Thank you, Steve, and again, thank you everyone for joining us today. I’ll begin today with the review of commercial revenue and developmental revenue for the quarter, and then discuss the specific components of each revenue category. On the commercial side, these categories include commercial chemical, royalty and license, and commercialization assistant revenues. On the developmental side, these categories include contract research, development chemical, and technology development revenue. Revenues for the quarter totaled approximately $3.6 million compared to $2.9 million for the fourth quarter of 2007. The fourth quarter of 2008 was the highest revenue quarter in the company’s history. For the rest of 2008, revenues were $2.7 million in the first quarter, $2.1 million in the second quarter, and $2.6 million in the fourth quarter. Total commercial revenue for the fourth quarter was approximately $1.4 million compared to $1.2 million for the fourth quarter of 2007. Commercial chemical revenue and royalty and license revenue for the quarter were $803,000 and $385,000 respectively, compared to $872,000 and $354,000 respectively for the fourth quarter of 2007. All of our commercial chemical revenues for the fourth quarter of 2008 was attributable to sales of our Universal PHOLED materials to Samsung mobile displays. Most of our commercial chemical revenue for the fourth quarter of 2007 was from Samsung mobile displays with small amounts received from two other customers. For the fourth quarter of 2008, we received royalty revenue under our patent license agreement with Samsung mobile displays. Under that agreement, we received royalty reports after the end of the quarter in which royalty bearing products are sold by Samsung mobile displays. Consequently, our royalty revenue from Samsung SMD for the fourth quarter reflects royalties for products sold by Samsung during the fourth quarter of 2008. Royalty and license revenue for fourth quarter of 2008 totaled $385,000 compared to $354,000 for the same period in 2007. For the fourth quarter, we received license revenue under our patent license agreement with Samsung, a close license agreement we executed with Dupont displays in 2002, a patent license agreement we entered into with Konica Minolta in August of 2008, a joint development agreement we previously entered into with a subsidiary of Konica Minolta, and two other agreements we entered into during the fourth quarter of 2008. We also received commercialization assistant revenue under a new contract we entered into during the fourth quarter of 2008 and there were no similar revenues received in 2007. Total developmental revenue was approximately $2.2 million for the fourth quarter of 2008 compared $1.7 million for the fourth quarter of 2007. Contract research revenues totaled $974,000 for the fourth quarter of 2008 compared to $952,000 for the same period in 2007. Developmental chemical revenue totaled $862,000 for the fourth quarter of 2008 compared to $244,000 for the same quarter of 2007. Our developmental chemical customer base increased as did the average dollar value of development chemical sales per customer compared to the fourth quarter of 2007. The timing and frequency of development chemicals purchases remains difficult to predict on a quarter-to-quarter basis due to our customers different OLED technology development and product launch strategies. Technology developmental revenue totaled $397,000 for the fourth quarter of 2008 compared to $477,000 for the same period in 2007. The decrease quarter-over-quarter was attributable to our completion at the end of 2007 of certain work under our technology development agreement with one of our customers. Our net loss for the fourth quarter of 2008 totaled approximately $4.4 million or $0.11 per diluted share compared to a net loss of approximately $3.3 million or $0.08 per diluted share for the same quarter of 2007. The rise in the net loss was attributable to an increase in operating expenses, most notably research and development, partially offset by an increase in revenue during the quarter. Operating expenses were $9.4 million for the fourth quarter of 2008. This compares to operating expenses of $8 million for the fourth quarter of 2007. The increase in operating expenses was primarily attributable to increase research and development spending. Our operating expenses were in line with our internal expectations on an annual basis. For 2008, total revenue was approximately $11.1 million compared to $11.3 million for 2007. Commercial revenue for the year totaled approximately $5.6 million and developmental revenue totaled $5.4 million compared to $4.4 million and $6.9 million respectively for 2007. As had been the trend, we are seeing an increase in commercial revenue as our customers transition from development to commercial activities. We expect this to continue as our technology realizes increased commercial adoptions. Our combined material revenue, including commercial and developmental, increased from $3.5 million in 2006 to $4.6 million in 2007 and to $6.7 million in 2008. We believe this is an indication of our proprietary PHOLED materials being accepted by the OLED manufacturers. Commercial chemical revenue was $3,750,000 for 2008 compared to $3.6 million for 2007. The majority of our commercial chemical revenue in both years was from Samsung mobile displays. Royalty revenue was $797,000 for 2008 compared to $61,000 in 2007. The increase in royalty revenue was due mainly to increase sale of licensed products by Samsung mobile displays. Royalty revenue for 2008 also included a small amount of revenue received under an agreement we entered into during the fourth quarter of 2008. Contract research revenue was $2.8 million for 2008 compared to $4.6 million for 2007. The decrease in contract research revenue was principally due to the timing of work performed and cost incurred in connection with several new programs during 2008; however, the overall value of these contracts remain relatively constant during both years. Development chemical revenue was $2,480,000 for 2008 compared to $1,050,000 for 2007. Our development chemical customer base increased significantly during 2008, as did the average dollar value of development chemical sales per customers. Our net loss for 2008 was approximately $19.1 million or $0.53 per diluted share compared to $16 million or $0.47 per diluted share for 2007. The net loss for 2008 was impacted by increased operating costs and contract research revenue being reduced from what it was in 2007. Total operating expenses were $33.7 million for 2008 compared to $31.7 for 2007. The increase was consistent with our expectations for 2008. R&D expenses were $22.3 million for 2008 compared to $20.9 million for 2007. The increase was mainly due to increased patent costs, increased personnel and operating costs at our Ewing facility. We increased our team by 25% during 2008. Interest income decreased to $2.6 million for 2008 compared to $3.6 million for 2007. The decrease was mainly attributable to decreased rates of return on investments during 2008 compared to rates of return during 2007. Due to the current market conditions, we anticipate that these lower rates of return will continue for the foreseeable future. We received payments from various customers for license rights granted to these customers and/or for joint development work performed for technical assistance provided at the request of our customers. We received $3.7 million of these payments during 2008 and $1.1 million of these payments during 2007. All of these payments have been classified as deferred revenue and we are recognizing them over the light of the agreements. Cash use and operating activities totaled approximately $7.8 million for 2008 compared to $10.4 million for 2007. The decrease in cash use was partially attributable to an increase in deferred revenue and deferred license fees and an increase in accounts payable at year end. Our balance sheet remains strong with cash, cash equivalents, and short-term investments of approximately $77.5 million compared to approximately $83.7 million as of the end of 2007. We continue to place a high emphasis on cost control and prudent use of cash as our revenue continue to transition and our technology gains commercial attraction. With that, we will now open up the lines for questions. Operator, would you please compile a list for the Q&A roster.
Operator: (Operator instructions) Our first question comes from Jim Ricchiuti.
Jim Ricchiuti - Needham & Company: This commercial assistant revenue of around $170,000, what does that relate to, Sid?
Sid Rosenblatt: We’re working with one of our customers in helping them commercialize some of their materials. We actually have a number of relationships with other chemical companies and this is one of them that we are helping to integrate their technology into the OLED community.
Jim Ricchiuti - Needham & Company: Okay, is this more one time or do you expect this to be recurring?
Sid Rosenblatt: This arrangement will last for about a year and the question is whether it will be renewed, it depends on the success.
Jim Ricchiuti - Needham & Company: Okay, but it is something potentially that we could see each quarter this year?
Sid Rosenblatt: That’s correct. We should see it over the next few quarters.
Jim Ricchiuti - Needham & Company: If I heard you correctly, I believe you alluded to two new agreements in Q4. Did I understand that correctly? Is there any way you could elaborate on that, Sid?
Sid Rosenblatt: There are two new agreements that were small agreements and small dollar amounts. They’re not material amounts of money.
Jim Ricchiuti - Needham & Company: These would be display related?
Sid Rosenblatt: Yes.
Jim Ricchiuti - Needham & Company: There’s been a lot of concern about the economy and we’ve also seen some other players in the OLED market scaling back some investment notably Kodak, at least they’ve made some mention of that. I wonder how do you see this playing out? What impact do you see on your business on the development of the market?
Steve Abramson: I think there’s a number of different manufacturers in the industry and they all seem to be impacted in different ways. As you see from the comments by Samsung and LG, they seem to be moving forward fairly aggressively. So thus far, we are not seeing a significant impact on our business from the economic situation.
Jim Ricchiuti - Needham & Company: Final question. Obviously you’re tracking I would guess what Samsung and LG are doing. Do you have a feel for how many devices currently are in the market that employ your technology?
Steve Abramson: I would say substantially all of the active OLEDs that are in the market use our technology. I just don’t know what that number is of how many devices there are.
Jim Ricchiuti - Needham & Company: We clearly have seen more phones introduced. There appear to be more on the way.
Steve Abramson: We are continuing to see ever increasing products using our technology from our manufacturing partners.
Jim Ricchiuti - Needham & Company: Can you comment if somebody walked in that we’ve been hearing about is using your technology, I would assume it is.
Steve Abramson: We could not comment.
Jim Ricchiuti - Needham & Company: But basically all of the active OLEDs out there are using your technology.
Steve Abramson: Well the active OLEDs from our announced partners, Samsung, LG, all of those.
Operator: Our next question comes from Ware Rhiner.
Ware Rhiner - Oppenheimer: First, on the developmental chemicals, quarter-on-quarter, anything specific happening there?
Steve Abramson: It has actually doubled during the year. The number of customers and dollar amount per customer has gone up and we believe it shows increased activity by a number of companies that are either looking at OLEDs or in early stages of development and late stages of development before they start to manufacture. So we think it’s a very encouraging sign that not only did the number of our customers increase year-over-year and quarter-over-quarter, but the dollar amount also.
Ware Rhiner - Oppenheimer: There’s research out there and comments from display search and they seem to be projecting a pretty substantial spike in AMOLED shipments in the second half of ’09, particularly from handset penetration. Is there anything that you see in your pipeline, in your conversations with your customers, that lead you to believe there could be a product that could potentially change the profile of OLEDs in consumer electronic devices? (mute)
Operator: Our next question comes from Jed Dorsheimer - Canaccord Adams
Jed Dorsheimer - Canaccord Adams: Are you there?
Steve Abramson: Could you not hear us, Jed?
Jed Dorsheimer - Canaccord Adams: I didn’t hear the response to the last question. I don’t know if you want to repeat that. I certainly didn’t hear it.
Steve Abramson: Let me repeat it. Talking about developmental customers and the increase in products that display search says in the second half of the year and based upon what Steve said earlier of Samsung increasing their capacity. We believe that the second half of this year will be significant new numbers of products in the marketplace. We’re hearing that from a number of different places, so we are very encouraged by that.
Jed Dorsheimer - Canaccord Adams: Would you expect all the products or majority of products to be small form factor, I guess less than 4 inches, related?
Sid Rosenblatt: Jed, we think that there’ll be a significant number of small form factors in the market, but we’ll also probably see some of the manufacturers increasing the size of the displays that they’re going to be showing.
Jed Dorsheimer - Canaccord Adams: And so with the exception of Sony, what have you seen that gives you confidence that the OEMs will be bringing a larger form factor to market and what form factor do you think that will be in the size of?
Sid Rosenblatt: We may have talked about focusing on middle sizes around 7 inches and they in fact manufactured a OLED picture frame for Kodak this past year. LG Display has talked about 15 inch TV coming out this year. So we’re starting to hear some talks like that and Samsung is also talking about larger area four factors, 11 or 14 inch, this year.
Jed Dorsheimer - Canaccord Adams: Would those medium size form factors be manufactured using a gen-four mother glass?
Sid Rosenblatt: They could be manufactured using anywhere between the existing factories, gen-two through gen-four.
Jed Dorsheimer - Canaccord Adams: Has there been any breakthrough or anything that you’ve seen that will allow the OLED market to scale beyond gen-four that gives you confidence that we’ll be able to get to sort of gen-five through seven or through eight, actually?
Sid Rosenblatt: I can’t predict the specific generations, but what we are seeing is a lot of good engineering work being done at a lot of manufactures to increase the manufacture ability of OLEDs, which include selling to larger mother glass sizes.
Jed Dorsheimer - Canaccord Adams: But I guess before we’d see that, we’d probably see a commitment of a multi $100 million commitment in terms of a fab, which we haven’t seen at this point. Right?
Sid Rosenblatt: What you’ve seen is a number of companies that allocate a significant amounts to OLED’s research and development or manufacturing, but they haven’t specifically said or haven’t specifically appropriated and said what specifically what size fabs they would be using.
Jed Dorsheimer - Canaccord Adams: The agreements that you signed, are those all for red and green or have any of them been for red, green, and blue or RGB plus W.
Steve Abramson: We have our red materials today and all of our customers, green materials are being evaluated by a number of customers and we are continuing to develop our blue materials and we are not shipping blue materials commercially at this time.
Sid Rosenblatt: Each of the agreements themselves are different, Jed.
Jed Dorsheimer - Canaccord Adams: What are the lifetimes on blue right now?
Steve Abramson: I don’t think we have any additional lifetimes since our last announcement, which our recollection was about 1,500 hours.
Jed Dorsheimer - Canaccord Adams: Two last questions. As we look at switching from the display to the whiting markets, if you’re just doing a solid white-white, what are lifetimes encapsulated in glass right now for white lighting applications and what efficacy can those be achieved at?
Sid Rosenblatt: From a prototype standpoint, we’ve gotten 100 lumens per watt, 102 per watt, on efficacy basis. Nobody is shipping production volumes yet of white lighting.
Steve Abramson: We have talked about the fact that using a light blue phosphorescent material that we can get almost 20,000 hours today at 1,000 nicks using red, green, and blue phosphorescent materials.
Operator: Our next question comes from Jim Ricchiuti of Needham & Company.
Jim Ricchiuti - Needham & Company: As we look at the Q4 revenues for $3.6 million, would you be able to tell us how much of that revenue came from lighting contract research revenue?
Steve Abramson: Well, we did announce a license agreement with Konica Minolta and the upfront of that amortized in our license feels, but we don’t specifically break it out by customer. But from a commercial material standpoint, there is no commercial materials being sold through lighting applications as of yet. It is still only displays.
Jim Ricchiuti - Needham & Company: Obviously there’s been a lot of speculation about the stimulus spending and the focus on trying to improve lighting efficiency. Are you pursuing perhaps some new contract research revenue in light of the increased spending in this area?
Steve Abramson: White OLED lighting fits squarely in the Obama green environmental energy stimulus plan, energy efficiency, and so we’re talking to people to see what type of funds are available to accelerate the growth of that industry. But you’re right, Jim, it’s a little too early at this point to know what’s actually out there.
Jim Ricchiuti - Needham & Company: Is there any way that you guys can maybe give us some help as to how you view contract research revenue. Up? Certainly it was up quite a bit, if we look back at ’07, it was at a very high level and came down in ’08? How should we think about it in ’09?
Steve Abramson: Right now, based upon what we have in house, I think it’ll be more than ’08, but right now probably not quite as high as ’07, but we do think it will be higher than ’08 and depending on what happens over the next few months, because we do get awarded programs. We had one that Steve talked about a million dollar. We would hope that it would be back at the 2007 levels.
Jim Ricchiuti - Needham & Company: There’s an income benefit of around a million dollars in Q4?
Sid Rosenblatt: Yeah, we do that each year. New Jersey is a very benevolent state in that it allows you to sell your NOLs to four profit companies and they can use them dollar per dollar and we have some NOLs in New Jersey that actually would have expired worthless. So you sell them for about $0.87 on a dollar to essentially the utilities in New Jersey and they use those dollar for dollar to pay their tax bill. So it is to help R&D companies to get some cash backs. So we have done this for each of the past few years.
Jim Ricchiuti - Needham & Company: Sid, what was the share count at the end of Q4, at the end of December?
Sid Rosenblatt: As of today or yesterday, $36, 308,000.
Jim Ricchiuti - Needham & Company: As we look at your R&D expense, that picked up quite a bit from September, where do you see R&D going forward?
Sid Rosenblatt: As we said, we hired approximately…we increased our staff here basically on the R&D side by about 25% during the year and in the fourth quarter we actually had all of those folks here and the cost associated with ramping them up. So we don’t anticipate significant additional expenditures for personnel or R&D during the year. So if you look at the fourth quarter, it should be a good indicator of what the first and second quarter should look like on the expense side.
Jim Ricchiuti - Needham & Company: That’s helpful. Thank you.
Sid Rosenblatt: Thank you. We apologize for the sound problems that we’re having. With that, there are no more questions, so we would like to thank you all very much for participating and as most of you are well aware, please give me or Steve a call if you have any follow-up questions and we will be happy to answer them and again, thank you for your time.
Operator: This concludes today’s conference call. You may now disconnect.